Operator: Good morning, ladies and gentlemen. Welcome to Petrobras Webcast and Conference Call with Analysts and Investors concerning its 2018 Annual Results. We would like to inform you that participants will follow the transmission by Internet and telephone only as listeners. After an introduction, a Q&A session will begin. At which time, instructions on how to participate will be provided. [Operator Instructions] We will start by listening to Petrobras CEO, Roberto Castello Branco, with the main highlights of the result. Afterwards, the participants’ questions will be answered. The presentation will remain available throughout the webcast and on the Company’s Investor Relations website. Present with us today are Mr. Roberto da Cunha Castello Branco, Petrobras CEO; Mr. Rafael Salvador Grisolia, Chief Financial and Investor Relations Officer; Mr. Carlos Alberto Pereira de Oliveira, Chief Exploration and Production Officer; Mr. Rudimar Andreis Lorenzatto, Chief Technology and Production Development Officer; Mr. Rafael Mendes Gomes, Chief Governance and Compliance Officer; Mr. Eberaldo de Almeida, Chief Corporate Affairs Executive Officer; as well as other Company’s executives. Please, Mr. Roberto, you may now begin.
Roberto da Cunha Castello Branco: Thank you. Good morning to those in the east side of the Atlantic. Good afternoon to those on the east side of the Atlantic – on the west side of the – east of the Atlantic, am I right? After a long night, it is morning again in Petrobras. The performance of 2018 was very good. We managed to get to some records – some record figures in terms of free cash flow. It was the highest in our history. In terms of EBITDA, adjusted EBITDA was also a record figure. And in terms of accounting net profits, we get back to the blue zone after four years of consecutive losses. And our frequency rate of accidents came down from 1.08 in terms of million of accidents per men hour – pardon me, of accidents per million men hour came down from – to 1.01 from 1.08 in 2017. This is now very good, but we still had six fatalities that’s unacceptable. We can’t have people working for the Petrobras, leaving home to work and not returning. Our goal is zero fatalities. Safety of our operations is a key priority in our company. We can’t think about maximizing value to shareholders without having a safety as a priority. We do not admit any underestimation of risks in our operations. We are acting to minimize accidents in our operation to enhance our response capacity to any accident and to investigate the cause of every incident in our operations. Well, dayside view of our performance is very good, I mean, comparing 2018 with years in the past. But we have to focus on the external view to have a deeper understanding of our performance and compare ourselves to our peers in the global oil industry. We managed to reduce debt very significantly, with total debt to US$84.4 billion from $126.2 million. And reduced our leverage, but it’s still too high. We have to continue this past and fast. We had a accounting profits, but we are not able yet to generate economic profits. So it’s our goal to improve the allocation of capital in order to really obtain an average return on capital employment higher than our weighted average cost of capital. Well, we are implementing our goal for a relentless search for low cost, taking effective measures and having an aggressive plan for the investors and using more intensively digital transformation. It’s the digitalization of the company with data analytics and artificial intelligence. We will give a very important contribution to cost reduction into efficient gains. Our production – our oil and gas production has been flat over the last five years due to several reasons. But given the new prospects with the entry into operation of several platforms and productional seasons, six are all in the last 10 years – 10 months. And the prospects for the entry of two new systems this year. And the initiatives to reduce cost and to foster our capacity to deliver products on budget, on time, we are confident then that our production will grow during the next five years as projected. And we managed to reduce costs, lifting cost significantly. These – there are two components of this. First, our own efforts to reduce costs. Second is the composition effect. As the pre-salt output grows and increase its share on our total production, naturally cost will go down. Now the lifting cost in the pre-salt fields is about $7 per barrel, which is very low. And we are confident that need to be even lower in the future. So it’s – me to give a strong contribution to reduce our cost that on average are around US$10 per barrel. Having said that, I’ll pass to my colleagues, to Rafael, our CFO, for his words.
Rafael Salvador Grisolia: Well, good morning and good afternoon, everybody. So thanks for the participation. I think to this session, we have before the Portuguese session, so we want to take a chance now to give some more space for questions now. So we are going direct to the Q&A section on this English version, please.
Operator: [Operator Instructions] Our first question comes from Regis Cardoso with Credit Suisse.
Regis Cardoso: Good morning, everyone. Thanks for the questions. I’d like to take advantage of the presence of the new executive team. And first, I wish you the best of luck and all the success in this new task. And then, I guess the first question will be to both Roberto and Rafael. You’ve mentioned there is a very clear and strategic norm for focusing in the assets, where the company is the best owner possible, where Petrobras can extract the most value. And in that sense, it sounds – it looks to us that – I mean, there are two – at least two specific assets in downstream...
Operator: Excuse me, Mr. Cardoso. Excuse me. I’m sorry to interrupt. Could you please repeat your first question?
Regis Cardoso: Yes. So I was just wishing all of luck. And the first question is in regards to sale of BR Distribuidora in refineries, not specifically on whether you have advanced in that process because I know it’s very early on in the process. But more in terms of what conditions you think are important? Is it important that Petrobras would retain a stake? Is it important that Petrobras would give away control so the buyer can make the operating changes? So I mean, if you can discuss a little more on that. And then the second question would be to CAPO and Rudimar, which is, if you believe we should expect any changes in direction – strategic direction in the E&P segment. In terms of, are you going to focus more on exploration? Do you have any preference for any given format of hiring the FPSOs, whether owned or leased? If you prefer to diversify risk, or if you prefer to concentrate your efforts in specific assets where you’ll have a 100% stake? That will be my two questions. Thank you.
Roberto da Cunha Castello Branco: Good morning, Regis. Responding to our first question, regarding BR Distribuidora, we are still studying the several options to divest partially our stake at the company. Could be – I said there are several options, so there’s nothing I can’t tell you now, because we do not have a decision. Regarding the refineries is similar. What I can tell you at the moment is to say that we will further than the previous plan announced by Petrobras. If we sell a refinery, we’re going to sell 100%, not just some share of the asset. And second is our concern to not transfer monopoly of a state-owned company to private sector companies. We’ll be very careful to avoid that. And because our goal is to create a vibrant and competitive market in Brazil. We don’t want to be in the very uncomfortable position to be setting price, even if you set according to the international price of gas or diesel or other fuel. But it’s not a good position to move 98% of refining capacity in the country. We’d like to have a much more competitive market and reallocate the funds to invest in our best business, in our core business, which is oil and gas exploration and production. I’ll pass to Rafael Grisolia to answer your second question.
Rafael Salvador Grisolia: Regis, thanks again for participation and your questions. I will pass your questions regarding strategy on E&P and production to CAPO and then Rudimar can add some. And then you can see the direct views from the new directors. I think that’s your basically – your objective in the questions. Thank you.
Carlos Alberto Pereira de Oliveira: Hey, good morning. We don’t – we are going to maintain our strategic exploration and production view. We are going to focus on the deepwater fields. That’s what we are – have been doing for long years. And we are going to continue with that strategy. And the divestment also on the shallow waters and the onshore fields. That is what we have planned on the strategic plan. And that’s what we are going to keep. It’s important to mention about your points that you addressed. For the exploratory strategy, we are going to increase it. We, for a long time, we have reduced the exploration investments. But now it’s time to increase it. And also about your question about having owned or chartered FPSOs, we are driven by value. We don’t simply log one or the other. We – that is the most important – that’s what drives us. So we’ve analyzed in each situation for each project, which active FPSO a fits better. And we will decide for one or the other the owned or the chartered, based on the value that it adds to the project. And also about – if we are going to invest in – put our resource and where we are going to put our resource, if we are going to should address – to put the best resources in our own assets or on the assets of partnerships, we would – we will use the best resource on the assets that have best value. And that’s where we – that’s what we have been doing so far and that’s what we are going to do. And those assets are on the pre-salt areas and the pre-salt over the Santos Basin. And also on the Campos Basin because we want to increase the production of the Santos Basin, but at the same time, to keep the production of the Campos Basin. I will pass the word to Mr. Rudimar to see if he has some complement to that.
Rudimar Andreis Lorenzatto: I don’t think I have to add anything. I think Mr. Carlos Alberto answered all the questions, including the – if we use owned or leasing units. I agree with you, Carlos. Thank you.
Regis Cardoso: CAPO, if you allow me just a quick follow-up on your – last part of your answer. Is it something you feel comfortable about having 100% stake in very large fields and developments like you do in Búzios? Or I mean, is it something you see positively a potential bidding round in those areas so you could bring in partners to share the risk?
Carlos Alberto Pereira de Oliveira: If I understood your question, you are referring to the Transfer of Rights where we have 100% share of the assets. And for the next – for the Transfer of Rights for us to bid rounds that there is – we will, for sure. In that process, we are going to share our participation with other companies that eventually will win the bid. And we don’t foresee problems regarding that. For sure, we would like to have more participation on those fields because they are very profitable and very – not only the profitability, but the productivity that we see on the wells are very good. But we don’t see any problems if we have to work in partnerships with those companies. That’s what we have been doing for the last 20 years. Working in partnerships in E&P.
Regis Cardoso: All right. Thanks, everyone for the very complete answers. Have a nice day.
Operator: The next question comes from Christian Audi with Santander.
Christian Audi: Thank you. Hello, Roberto, Rafael. Congratulations on the solid results particularly the free cash flow generation that was impressive. I had two questions. One on the very important topic of value creation, Roberto, that you’ve been touching on several times. When we look at your ROCE, you showed that you expected to go from these levels of 8.5% to around 11% in 2020. I think that’s great that if you’ve set up a target because many global companies don’t even go that far. And my question is, how do you see this number evolving? Is this going to be a linear progression? Is it going to be more back end in 2019? And in addition to Upstream, what are the other main drivers that would allow you to increase this number? My second question was on the refining sector. I like to hear from you how has the hedging of both gasoline and diesel been working? Have you been able to engage – maintain prices in line with international prices? But more importantly, maintain a positive refining margin now in January and February? Thank you.
Roberto da Cunha Castello Branco: Good morning, Christian. I’ll respond to your first question and pass the second to Rafael Grisolia. First one, we are working – we’ll be working on the two sides of the equation, on the one hand, developing initiatives to increase return on capital employed. On the other hand, developing initiatives to reduce weighted average cost of capital. Because the value creation depends on return capital employed be higher than the cost of capital. The one side of the equation on ROCE, we are confident that the divestiture of assets that do not generate good returns and the reallocation of capital to assets, that I’ll characterize it by high return, will continue to this process. At the same time, we will be engaged in the relentless search for low cost in order to increase our capacity to generate cash to increase our net operational profit after taxes. This is very important. So this is the game. On the ROCE side – on the cost of capital side, the divestitures will continue to reduce debt. And we believe that transparency, maximizing transparency and improving our relationship with global financial markets will continue to a better risk perception of the company. And by the end of the day, to reduce our cost of capital. So that’s just that. It’s very simple to speak. But it’s a major challenge in order to accomplish with our goals. But we are laser-focused on reaching the goals. I don’t know if it would be a linear process or non-linear process, but we are confident that at the end, we will reach the goal to start creating value for our shareholders. I’ll pass to Rafael Grisolia to answer your second question.
Rafael Salvador Grisolia: Christian, thanks for the participation. Thanks for your question. Regarding the hedging tools that we have been using in gasoline and then we start in digging up this year using for diesel as well. On our realization price, on price of our refineries, we feel very positive about that. It’s working fine. We are managing to execute it and use that as we announced to the market as an option to our decision in terms of how to perform, how to manage our price to our customers in a way that we try to reduce the volatility that’s specific in this time of the year or that you actually have been experienced in a couple of – last weeks and eventually even last months. That you can use that tool to help us to manage the price to our customers. So we are using that. That is helping us to keeping our goals in terms of important patent price plus our objectives in profitability on our realization price. So we are continuing and the operation has been – is executable. We are using that as a – continue as we intend to do – continue to use that as an option to our price to our customers. So basically it’s that, we’re very positive. And obviously, we intend to continue to use that – the same hedging mechanism that we’ve been using in the gasoline and the diesel price system as well.
Christian Audi: And Rafa, just a quick follow-up. Obviously, with oil prices having come up significantly since December to now and you’re having this pricing mechanism that in theory would drive gasoline and diesel prices up, how do you think, looking forward, if this oil price momentum were to continue, how do you protect yourself from avoiding situations like last year when diesel prices went up too much, and the market reacted negatively to that? How can you prepare or avoid that type of a situation again as you look forward?
Rafael Salvador Grisolia: Well, I’ll pass – Roberto who will complement my – the technical aspect of that. As we announced and all this option helped us to manage the price adjustment up to seven days in case of gasoline, and up to 15 days in case – sorry, seven days on diesel and 15 days on gasoline. So it’s that – it’s the maximum we can operationally and execute that. But again, we have lessons learned from the truck drivers that to us we also need to consider. So I’ll pass that to Roberto and then he’ll complement my answer.
Roberto da Cunha Castello Branco: Christian, I am very convinced that the reason for the truck drivers’ strike was not the level of diesel price. Although, they have increased significantly during 2018, but it’s the volatility because even with the increased diesel price, we’re above the average, the global average of diesel. And I estimate that at that time that 92 countries have higher diesel price than here in Brazil, in U.S. dollars per liter. And the one decision we have made is exactly what Rafael said, is to have – to hedge against the volatility of fuel price in Brazilian reals. And so to have adjustments for – in longer intervals instead of daily fluctuation of price. In discussion with government authorities, we have given several suggestions in order to minimize volatility. One of them is a mechanism that has been adopted in the West, the U.S., since the 1970s in reaction to the global oil shock of 1973, is the – is to put in their contracts between the carriers and their clients of a clause for adjustment of the freight price according to the volatility of diesel price for drivers’ travels with longer duration of – that has been looked very satisfactorily over many years. So it met the survivorship test. So we believe that it will be a good option for Brazil to adopt that because this is a reality. Foods are commodities and commodities are volatile. Sometimes they are less volatile, sometimes the volatility increase and returns to the – to their average, but they are not stable prices. It happens with foods, with metals and minerals, it happens with food price. So it’s a reality of life. So the market designs several instruments to minimize the volatility and protect those who want to be hedged against these fluctuations that sometimes is wide. So we think that the risks are now lower than in the past.
Christian Audi: Very interesting, very helpful. Thanks.
Operator: The next question comes from Vincent Falanga, Bradesco BBI.
Vincent Falanga: Good morning, Roberto, Rafael, CAPO. Roberto, congratulations on a huge role. I had one question for each one of you, if I may. First of all, Roberto, regarding the Transfer of Rights, some government representatives have been very vocal about the process potentially being concluded by the end of March, with the energy council possibly setting the date for the auction today. Now from Petrobras’ standpoint, I mean, does the company see Bill 78 in the Senate as a prerequisite to sign this contract? Or is it not really necessary? I mean, will the approval of the audit courts suffice? Because it seems to us that if the process has to be voted on the Senate, meeting this deadline by the end of March, it seems very challenging. My second question is to Rafa. Your cash flow in the quarter was pretty outstanding. But correct me if I’m wrong, it seems to us that there was some CapEx spilling over to 2019. If that is the case, I mean, what is the CapEx number do you think we should work with for this year? And then my last question goes to CAPO. CAPO, can you provide us an update on how are the studies to increase the diameter of the wells of the pre-salts to potentially raise production of some of these wells to 60,000 barrels a day. Have you guys started to actually conduct some tests? And do you plan to release the results to the market? Thank you very much.
Roberto da Cunha Castello Branco: Vicente, regarding the TOR contract, this is a priority, this – for the government. It’s a priority for the oil industry. All of us want this auction to happen this year. We don’t believe that the best way to make feasible the auction is through a law. We understand that it’s a contract between two parties. And the Brazilian state and one company, Petrobras. And this has been to be dealt by these two parties. There is no need for a law. For sure, if a law is the right way to make feasible the auction, given the discussion, given the two house on the Congress, it would take a long time. So it’s very likely that if that’s the way, we won’t have an auction this year. But I am very confident that this issue will be solved fast as the minister of mines and energy said, it’s very likely that all the details for the auction will be clarified during next months. We have been meeting with the minister of mines and in the energy and the minister of economy to reach an agreement and to go ahead with the announcement of the auction with all the details is to agreed.
Vincent Falanga: Great, thank you.
Rafael Salvador Grisolia: Vincente, this is Rafael. Thanks for your participation and your question. Well, let’s – the way I would like to frame it here the issue of our free cash flow, I think we are still really – strongly positive about that. Again, we are committed to ensure we are making all the investments this company needs for the long-term and the mid-term and the short-term requirements for this company to create – to value creation as you understand. So basically there are some fluctuations from the CapEx, we actually performed in 2018 to 2019, but we did two systems that we just – with the marketing input just to start operation now, was a couple of weeks that we are first considering in 2018. And in the end of 2018 and now in the year, so I think we are actually, before talking about the numbers, I think what is the reality it seems that we are putting production in the system, so everything is working. We are – where the marketing is really very careful about the safety. We need to give the – we need our industries – there’s a risk component in the oil industry. We need to be very careful about that. So we’re going to ensure all the safety and security standards are put in place. And then we are confident that the systems will be here for 2019 production as CAPO also highlighted in previous questions. So – but we are trying to avoid any guidance on the CapEx numbers. But from our planning that in periods from 2019 to 2023, the intent is the entire CapEx will be $84 billion. But since we have more system in the end over the five-year period, the simple average will not work for your consideration models. But you’ll not be wrong if you use something wrong for $40 million to $50 million this year, okay, as I referenced for your calculation. I think that comes also from the – what we indicated in our business plan as we announced in December. I will pass your question to CAPO as you also highlighted. Thanks again, Vincente.
Vincent Falanga: Thank you, Rafael. Very clear.
Carlos Alberto Pereira de Oliveira: I will just comment that as we are having high productivity on the wells of the pre-salt layer at Santos Basin, we are looking for different solutions in order to take advantage of this productivity and also to have better value on the fields that we’re producing there. But I’ll pass the word to Mr. Rudimar. He will comment about one of these possibilities, which is to increase the diameter of the lines, the flowlines from the wells, which we’re sure would help us in – on the ramp-up of the platforms.
Rudimar Andreis Lorenzatto: Good morning, Vincent. First, I’d like to mention the answer from Rafa. If you see the Slide 27, you can see our level of readiness for ramp-up acceleration in this 2019. And you can see how is our readiness considering drilling, completion and to put the wells on stream. Going to your question about the diameter of the wells on the pre-salt, it’s a well-designed question. It’s very technical. We are analyzing it. It depends on pressure, temperature, metallurgy and design process. Certainly, we are studying with our R&D center and with our wells engineers to find out better-designed wells for bigger diameters. But we are still studying this. Even though, we are increasing our flexible lines as Carlos Alberto mentioned, we are changing somewhere else from 6 inch to 8 inch and we are getting good results, considering production outputs. Thank you.
Vincent Falanga: Great, thank you. Thank you very much.
Operator: The next question comes from Frank McGann with Bank of America Merrill Lynch.
Frank McGann: Okay, thank you very much. Yes, just two questions. One is, in terms of the refining sector, I was wondering if you thought about what – you clearly wanted more competitive refining system. How – what percentage would you be targeting for Petrobras to have when you’ve completed the process to sell assets and open up the system? The second question would be in terms of renewables, electricity? How do you see investments in those segments going forward to perhaps diversify and expand in areas that may be getting greater – or seek greater growth potential longer-term?
Roberto da Cunha Castello Branco: Hi Frank, good morning. It’s good to hear you. First question, we have no numbers, no target yet. But in general terms, I would say that our goal is to come to less than 50% from the current 98%. Talk about Brazil’s refining capacity, for sure, it depends on several conditions on price. I would like to divest these operations and to create value. And as in any transaction, everything depends on price. With relation to renewables, we will be more careful. We don’t think we have yet the competencies to thrive in this kind of business. We are very focused on oil and gas. This has been the Company’s history for the last 65 years. We are very good on exploration and production of oil and gas. We are still learning about this new business, the production of energy from renewable source. So we are still in the phase of investing some research about the business, the operation of this kind of plants, solar power and wind power. So it’s not in our map, in our road map to create value yet. Could be in the future is, we have a short and the medium-term focus on oil and gas. We expect gas to increase its importance in our portfolio in the medium-term. And then in the long-term, we probably – we have renewables solar and wind power. Brazil has some competitive advantage in this kind of renewable source of energy and – but you can exploit being successive. But at the moment, we do not believe that we have any advantage in investing funds in this type of business. We, for sure, will be running the risk of losing a lot of money. And this is, we definitely don’t want to lose $1 investing in anything.
Frank McGann: Okay. Thank you very much.
Operator: The next question comes from Lilyanna Yang with HSBC.
Lilyanna Yang: Hi, thank you for taking my question. Congratulations on the provision. My question was actually very similar to Frank’s. It was about the format of sale of refineries. You stated plans to sell 100% of the control but contingent on valuation. So would be considering to also divide the refineries into clusters and maybe starting with the sale of partial – or part of them? Or maybe control of some of them so that you can maybe grab a better valuation for the assets? Or how is the studies about it? Thank you.
Roberto da Cunha Castello Branco: Hi Lilyanna, good morning. It’s very important to say that we are not intending to sell 100% of our total capacity. We still remain in the refining business. Of course, with a much lower share than we have now. As I said to Frank, currently, we have 98%. In the future, we’d like to have something less than 50%. But regarding to individual refineries, if you sell them, we are going to sell 100% of that specific asset. We are still designing our package. We don’t know if there will be sold as a cluster or as individual refineries, separating the assets of refining and logistics, selling to different players. This is yet to be solved. We didn’t make any decision with relation to the structure of the divestiture package. One of our concerns is to not create conditions for the formation of regional monopolies in refining. We want to have open market, very competitive one that we attract many players to Brazil and prepare ourselves to win in a competitive market, as an efficient low-cost producer.
Lilyanna Yang: So if – just for clarification, so how can you differ substantially from the plan that was maybe released almost, what, in May of – April of last year, regarding or dividing the refineries into cluster and selling control over a few clusters? Because you mentioned that, if I understood well, right, that if the asset is sold, 100% of a particular asset will be sold, right? And then maybe Petrobras will retain still 100% of other refinery assets. Is that right? Or maybe it’s not right? Please go ahead.
Rafael Salvador Grisolia: Lily, this is Rafa. Let me help you on the – help us here on some of clarification which is important. I think what we announced before and what is in the market in fact, the projects about our investment of refineries, we are what Roberto – we are working here with the team and Roberto is conducting that, trying to redesign that in a way that for Petrobras, this kind of attempt to divest be the most efficient and competitive, okay, in terms of how we can create value for Petrobras. And so because what we learned so far that the current model is not really being effective in terms of attractiveness to the market and also of our current goals on profitability. So that’s why we are trying to redesign and rethinking on how that will come back to the market or inform the market of any adaptation that what means that, that there’s several options are being looked at. So one could be while considering the current structure, but then by clusters and then introduce some of the cluster but – or I’ll give you options to give you those sales of refineries. And that’s the point that if we, in the future, adopt a combination of all these options in the alternative that we select one refinery that we may then decide that the market will really comply for our value creation. As you know, the end – that we’re going to sell 100% of that specific refinery. But again, we are redesigning, we are restudying and then we’ll come back to the markets to see what can be most effective for our goals in terms of value creation.
Roberto da Cunha Castello Branco: Lilyanna, if I may add one difference from the plan that was announced in the past, that we will not exclude any potential investor. All of them will be able to buy the asset with no discrimination or is it to be an integrated oil company or private equity fund or a trader or a refining company, every player would be welcomed.
Lilyanna Yang: Perfect. Very clear. Thank you both.
Operator: The next question comes from Anne Milne with Bank of America Merrill Lynch.
Anne Milne: Thank you. Good morning, and congratulations on the pretty impressive reduction in debt over the last couple of years. The – most of my questions have been answered. The last one does have to do with the debt profile that you currently have. It looks like it’s roughly divided between bonds and bank loans. And that you don’t have a lot due in 2019 or 2020. Given the big free cash flow that you’re having going forward, maybe you could give us an idea of how you’re looking at your debt profile going forward? Will you push it out further? Will you have – will you favor more short-term bank loans or bonds, just how you’re thinking about this? Thank you very much.
Rafael Salvador Grisolia: Annie, this is Rafa. Thanks for your participation and question. Well, again, in a value-creation agenda, as the company is generating more cash and as we continue to have – still debt was in our – let’s say, higher leverage position that we’d like as our competitors. So as Roberto mentioned, and I think I mentioned as well that we need to continue to use this cash generation that we are accounting – taking into our accounts, coming from the new systems, coming from the products specifically and the other results from the other phases of our business and other streams. In the end, we will continue to delever the company. But at the end of the day, obviously, the efficient capital structure will continue to have 1:1.5 net debt-to-EBITDA as our target, as we already announced. In terms of efficient in the market, what we see the company, and Roberto is really teasing us to continuing this as Roberto mentioned in his first statement, we are working hard with the rating agencies in terms of – look, showing all these, these new moments for Petrobras, this new moment of profitabilities, new moment of cash generation, a way there to continue. And then also consider that the new production cycle of this company. We put the company more and more in the international market. And the company need to play, not only counting on Brazil internal demand of fuels but – and oil, but also on international market as our production increased, not only oil and gas as well. So which means that we think that we have a good agenda of the rating agencies to look for what just happened with moods that we can move our – it’s initially a stand-alone rating for higher than the sub-range rating then we working for the other agencies to move ahead with that as well, which means, at the end of the day, that we think, there’s assumption that we will be more and more as Petrobras has been doing and the finance team has been working hard on that, that we are accessing the international markets and the capital markets. I think we really believe that it’s a market that Petrobras has all the conditions and numbers and governance and structure to assess the capital markets. It doesn’t mean that we’ll continue to look for direct-to-loans with banks as the opportunities appears. So it’s really – continues our combination that not really forgetting that we are also looking to put in place more and more revolving credit facilities in place and the way that can reduce our need to carry cash. So in the end, we are taking the opportunity how the markets are looking in Brazil, looking at the company, Petrobras itself, too, as to the terms as we can with the remaining – what average is remaining in that – in our capital structure.
Anne Milne: Okay. Very clear. Thank you very much Rafa.
Operator: Thank you all. At this time, the Q&A session of the Petrobras webcast and conference call is over. Mr. Roberto Castello Branco will now make his final remarks. Please, CEO.
Roberto da Cunha Castello Branco: Well, thank you. I would like to thank all of you that had the patience and the interest to attend our conference call. All questions will be very welcome. Our goal is to be as transparent as you can be to maximize transparency and to increase your understanding of our company, the value drivers. And all the IR team will be ready to respond to any questions and ourselves as well. Every manager, myself and all the directors will be very happy to meet you and to discuss any issue regarding the company in the oil and gas business. Thanks.
Operator: Thank you. Ladies and gentlemen, the audio of this conference call for replay will be available on Petrobras Investor Relations website at www.petrobras.com.br/ir. Thank you very much for your participation, and have a great day.